Operator: Ladies and gentlemen, thank you for standing by. Welcome to The TJX Companies Third Quarter Fiscal 2023 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded, November 16, 2022. I would like to turn the conference call over to Mr. Ernie Herrman, Chief Executive Officer and President of The TJX Companies, Inc. Please go ahead, sir.
Ernie Herrman: Thank you, Fran. Before we begin, Jeff has some opening comments.
Jeff Botte: Thank you, Ernie, and good morning. The forward-looking statements we make today about the Company's results and plans are subject to risks and uncertainties that could cause the actual results and the implementation of the Company's plans to vary materially. These risks are discussed in the Company's SEC filings, including, without limitation, the Form 10-K filed March 30, 2022. Further, these comments and the Q&A that follows are copyrighted today by the TJX Companies, Inc. Any recording, retransmission, reproduction or other use of the same, for profit or otherwise without prior consent of TJX is prohibited and a violation of United States copyright laws. Additionally, while we have approved the publishing of a transcript of this call by a third party, we take no responsibility for inaccuracies that may appear in that transcript. We have detailed the impact of foreign exchange on our consolidated results and our international divisions in today's press release and the Investors section of our website, tjx.com. Reconciliations of the non-GAAP measures we discuss today to GAAP measures are posted on our website, tjx.com, in the Investors section. Thank you. And now, I'll turn it back over to Ernie.
Ernie Herrman: Thanks, Jeff. Good morning. Joining me and Jeff on the call is Scott Goldenberg. As we announced today, John Klinger is being promoted to Chief Financial Officer at the beginning of our new fiscal year in late January. I wanted to take this opportunity to congratulate John on his broader role, and I look forward to working more closely with him as we move forward. Scott is remaining with the Company as Senior Executive Vice President, Finance. I would like to recognize his long and extremely successful tenure as CFO for which we are enormously grateful. I cannot emphasize enough how beneficial Scott has been to me personally. He has truly been a great partner. We are very pleased that TJX will continue to benefit from both, John and Scott's expertise and leadership. I'll start today by thanking all of our global associates for their hard work and commitment to TJX. We truly appreciate their collective efforts to deliver great merchandise and values to our shoppers every day. Now to our results. I am very pleased with our third quarter performance. Once again, we delivered strong profitability and a terrific merchandise margin. On the top line, our better-than-expected U.S. comp sales were driven by the excellent performance at Marmaxx, particularly its apparel business, where sales were strong. Our third quarter results once again highlight the outstanding execution of our flexible business model by our very talented associates. While our business is not immune to macro factors, I am convinced that the flexibility of our off-price retail model and the depth of our expertise and experience, especially within our merchant organization, will remain an important advantage for us. As we enter the fourth quarter, we're in a terrific position to take advantage of the tremendous buying environment and to flow fresh exciting assortments to our stores and online this holiday season. We have many initiatives planned to drive sales and our value proposition remains very strong. Further, we are convinced that our great values will continue to resonate with consumers whose wallets remain stretched. Medium and longer term, we remain extremely confident that TJX is well-positioned to gain market share and become an even more profitable company. I'll talk more about our holiday plans and our opportunities beyond 2022 in a moment. Before I continue, though, I'll turn the call over to Scott to cover our third quarter financial results in more detail. Scott?
Scott Goldenberg: Thanks, Ernie, and good morning, everyone. I'll start with some additional details on the third quarter. Third quarter consolidated pretax margin of 11.2% was up 20 basis points versus last year. Third quarter pretax margin exceeded the high end of our guidance, largely due to the timing of some expenses. Our plans for the fourth quarter assume that most of this benefit will reverse out. Aside from the timing of expenses, the other components of our pretax margin were essentially in line with the high end of our plan. Merchandise margin was flat, despite 120 basis points of incremental freight pressure. Within merchandise margin, we saw a significant benefit from markon, mostly due to better buying. Incremental wage costs continued to be a headwind to pretax margin with a negative impact of 80 basis points this quarter. Third quarter U.S. comp store sales decreased 2% and exceeded our expectations. As a reminder, we were anniversarying an outsized 16% U.S. open-only comp increase last year, which was versus fiscal '20. When added together, our comp would represent a 14% increase on a 3-year stack basis. Further, U.S. comp sales improved each month of the quarter on that same 3-year stack basis. Excluding foreign exchange, third quarter total sales would have been at the high end of our guidance. For the third quarter, U.S. average basket was up. U.S. customer traffic was down, but strengthened as the quarter progressed and improved versus the second quarter. Lastly, adjusted earnings per share were $0.86. Again, this was above the high end of our guidance, largely due to a benefit from the timing of some expenses, and our plans for the fourth quarter assume that most of this benefit will reverse out. Now to our divisional results. At Marmaxx, third quarter segment profit margin was 13.5%. Comp store sales increased 3% versus an 11% open-only comp increase last year. Marmaxx's comp sales were positive each month and improved throughout the quarter. Again, it was great to see a strong comp increase in Marmaxx's apparel business. Once again, Marmaxx's average basket increased as it has throughout the year. While customer traffic was down, Marmaxx saw improvement each month of the quarter and versus the second quarter. At HomeGoods, third quarter segment profit margin was 8.9%. The segment profit margin improvement versus the first half of this year was mostly due to a significant moderation of the year-over-year impact of incremental freight costs. Comp store sales decreased 16% versus a 34% open-only comp increase last year when we saw an outsized -- when we saw outsized spending in home-related categories. HomeGoods' average basket increased slightly. At TJX Canada, we are pleased with the overall -- with their overall performance, particularly their strong profitability. Third quarter segment profit margin was 15.8%, exceeding their fiscal '20 margin. Overall sales on a constant currency basis were up 4% in the third quarter. Further, third quarter Canadian sales growth also improved each month of the quarter when compared to fiscal '20. At TJX International, third quarter segment profit margin was 6.7%, despite some deleverage from lower sales. Pretax margin was essentially in line versus fiscal '20 due to better buying and expense management, which mostly offset incremental freight wage and other expense pressures. Overall sales on a constant currency basis were down 1% from the third quarter. Moving to inventory. Our balance sheet inventory was up 26% versus the third quarter last year. This is higher than we expected due to early receipts of merchandise as the supply chain continued to improve. On a per-store basis, inventory was up 31% on a constant currency basis. We are very comfortable with our balance sheet and store inventory levels when compared to fiscal '20. Importantly, overall store inventory turns and markdowns are in line with our fiscal '20 levels. We still have plenty of liquidity and are in excellent position to take advantage of the great buying environment, including packaway opportunities. I'll finish with our liquidity and shareholder distributions. During the third quarter, we generated $1.1 billion of operating cash flow and ended the quarter with $3.4 billion in cash. In the third quarter, we returned $843 million to shareholders through our buyback and dividend programs. Now, I will turn it back to Ernie.
Ernie Herrman: Thanks, Scott. Now, I'd like to highlight the opportunities we see to drive traffic and sales in the fourth quarter. First, in this inflationary environment, we believe it is important as ever to deliver shoppers excellent value throughout the store and online every time they visit. This is our top priority, and I am confident that our banners will be a destination for consumers seeking great value this holiday season. Second, as I've been saying all year long, the marketplace is absolutely loaded with quality branded merchandise across good, better and best brands. Importantly, this has set us up very well to offer an excellent assortment of branded gifts this holiday season that we believe will excite and inspire our shoppers. Third, I want to highlight that we plan to flow fresh product to our stores and online multiple times a week, which is a key differentiator of our business compared to many other retailers. With the rapidly changing merchandise mix, I am confident that shoppers are going to be very satisfied with the gift assortments they see every time they visit. Our store teams are excellent at managing this flow and creating fresh organized shopping presentations throughout our stores. Next, we feel great about our holiday marketing campaigns that just launched. We believe these campaigns can help drive traffic from both, new and existing shoppers across each of our banners. This year, each of our divisions will reinforce our value leadership and emphasize that shoppers can get more for their money when they visit. We are also highlighting the fresh flow of merchandise throughout the holiday season with messaging such as Spend Less, Get More, All Season Long. In the U.S. and Canada, we are leveraging the strengths of our retail brand portfolio and multi-banner campaigns, helping to drive efficiencies and building awareness. Further, for all our retail banners, we have strong comprehensive marketing plans in place to help us stand out. Lastly, the flexibility of our business model has allowed us to successfully operate our business against some level of retail promotion every year for the past 46 years. I really want to emphasize that we are extremely confident that we can manage through any type of promotional environment that we may see from other retailers in the fourth quarter and beyond. Looking beyond this year, we are convinced that we are set up very well to capitalize on the growth opportunities we see for our business in the medium and long term. On the top line, we believe we are well positioned to capture additional market share. We see many opportunities to drive sales and traffic as we attract a wide range of customers across many income demographics, which we believe is a key advantage of our business. Further, we have substantial store growth potential remaining in our current geographies around the world. In a retail environment where overall pricing has been reset higher, we believe our value proposition will be even more compelling and visible to consumers and that our treasure hunt shopping experience will hold tremendous appeal. I want to reiterate our continued confidence in product availability to support our long-term growth plans. Throughout our history, availability of quality-branded inventory has never been an issue for us. Our more than 1,200 buyers source from a universe of approximately 21,000 vendors and from over 100 countries. There has always been significantly more merchandise in the marketplace than we could buy, and we expect that to continue. As to our profitability outlook, we remain committed to returning to our fiscal 2020 pretax margin level. To be clear, that would be a 10.6% pretax margin by fiscal 2025. Over the next two years, our plans assume additional merchandise margin opportunities across all of our divisions. We also expect our overall expense headwinds to moderate and that freight will be a tailwind next year. Lastly, this outlook assumes that our overall comp store sales will return to a low single-digit increase in each of the next two years. Turning to corporate responsibility. I am pleased to share with you that our 2022 global corporate responsibility report was published this past quarter and is available on tjx.com. This report summarizes our fiscal 2022 initiatives and progress within our four areas of focus, which are workplace, communities, environmental sustainability and responsible business. The report includes an appendix of ESG data and maps our work and disclosures to a variety of ESG standards and frameworks, including The Global Reporting Initiative, United Nations Sustainable Development Goals, and the Sustainability Accounting Standards Board. We're proud to continue to make progress in our programs and initiatives, and I'm grateful to our teams around the globe for the work they do to support our global priorities. As always, we invite you to visit tjx.com to read our full report, and we'll continue to update the site over the next year. In closing, I want to again thank all of our associates around the world for their hard work that led to our strong results in the third quarter. Our teams have put us in an excellent position this holiday season. I am convinced that we have some of the best talent in all of retail and across all areas of the business. Further, I believe their depth of off-price knowledge and expertise is unmatched and has driven our strong execution. I truly believe our associates will continue to be a major advantage for TJX going forward. I'm convinced that the flexibility of our off-price model and our commitment to value set us apart and have allowed us to successfully operate in many different economic, retail and promotional environments. While we are impacted by macro factors, we have historically outperformed in both, good and bad environments throughout our 45-plus-year history. We are confident that we can execute on our short- and long-term growth plans to build TJX into an increasingly profitable $60 billion plus revenue company. Now, I'll turn the call back to Scott to cover our full year and fourth quarter guidance. And then, we'll open it up for questions. Scott?
Scott Goldenberg: Thanks again, Ernie. I'll start with the full year. We increased our outlook for full year U.S. comp sales and now expect them to be down 1% to down 2% versus our previous guidance of down 2% to down 3%. This guidance now reflects the flow-through of our above-plan third quarter U.S. comp sales and our increased expectations for the fourth quarter. For the full year, we're now planning total TJX sales in the range of $49.3 billion to $49.5 billion. The change versus our previous guidance is due to our forecast that unfavorable foreign exchange rates will negatively impact our fourth quarter reported sales. For full year adjusted pretax margins, we're anticipating a range of 9.8% to 9.9%, maintaining the high end of our full year margin guidance. For full year adjusted earnings per share, we now expect a range of $3.07 to $3.11 million, which is up 8% to 9% over last year's adjusted $2.85. The change to the high end versus our previous guidance is due to an incremental $0.02 negative impact from unfavorable foreign exchange rates. Excluding this foreign exchange incremental foreign exchange impact, the high end of our adjusted EPS guidance would be unchanged. For modeling purposes, for the full year, we're currently anticipating approximately 130 basis points of incremental freight expense and 70 basis points of incremental wage costs. Also, we're assuming an adjusted tax rate of 25.3%, net interest expense of approximately $10 million and a weighted average share count of approximately 1.18 billion. We remain committed to returning cash to shareholders through our dividend and stock repurchase programs. In fiscal '23, we continue to expect to buy back 2.25 to 2.50 of TJX stock. Now to the fourth quarter. For the fourth quarter, we are increasing our plan for U.S. comp store sales to be flat to up 1% over an outsized 13% U.S. open-only comp store sales increase last year. Next, we are planning total fourth quarter TJX sales in the range of $13.9 billion to $14.1 billion. In the fourth quarter, we're now assuming -- in the fourth quarter, we're now planning pretax margin in the range of 9.5% to 9.8%. This outlook now assumes that most of our third -- the third quarter timing of expenses -- the expense benefit will reverse out in the fourth quarter. For modeling purposes, in the fourth quarter, we're currently expecting a headwind from incremental wage costs and for freight to be flat. We're also anticipating a tax rate of 24.9%, net interest income of approximately $19 million, and a weighted average share count of approximately 1.17 billion. As a result of all of these assumptions, we're planning fourth quarter EPS of $0.85 to $0.89 per share. This outlook now assumes that most of the third quarter timing of benefit -- of expense benefits will reverse out in the fourth quarter and also reflects an expected unfavorable impact due to foreign exchange rates. In closing, I want to highlight that we are in great position operationally and financially to grow our business. We have a very strong balance sheet and continue to generate outstanding cash flow. Further, we are set up extremely well to continue making important investments to support the growth of our business while simultaneously returning significant cash to our shareholders. Now, we're happy to take your questions. And as we do every quarter, we're going to ask that you please limit your questions to one per person, so we can keep the call on schedule and commence our questions from as many analysts as we can. Thanks. And now, we will open it up for questions.
Operator: [Operator Instructions] Our first question is from Omar Saad.
Omar Saad: Thanks for taking my question. Great job in the quarter. Ernie, if you take a look at the consumer, a macro lens for your business, maybe you could talk a little bit about whether you're still seeing any resistance to the pricing that you put for your business and to the products? And also any trade-down effects showing up whether inside your business or you're pulling consumers in some other more premium channels? Thanks.
Ernie Herrman: Thanks, Omar. Well, on the macro lens, with regard to the pricing, we are seeing very, very little resistance. And I would say our hit rate is in the 90-plus-percent in terms of success on measuring it. In fact, at one point, I think, Scott and his script talked about how our turns are essentially where they were in FY20, which is always a barometer. So, we look at pre-COVID, and we get all the way down to a SKU level. So, we look at categories, we look at apartments and then we go to SKU level. And obviously, we zero-in on where we've adjusted the retail. And because of what's happened around us where the retails have gone up so much significantly, we have really been so effective at it and hit extremely low resistance. So, a lot more, I guess, opportunity as we move forward to keep doing because we've spot it, as you can imagine, we're also spotting places where we've gone up for retail and we can go up again. So you have that dynamic, which is a little unusual because sometimes we do an intermediate price point raise, and the goods, whether it's apparel or hard lines, have gone up a couple of price points because remember, some of the inflationary hits have been more than just 2% or 3%. So, there are some items that have gone up 10% or 20%, and we've only gone up the first price point. So, all in all, Omar, definitely more opportunity there, if anything, in terms of pricing stance. Scott?
Scott Goldenberg: Yes. Hi Omar. Scott. The other thing, and we said this last quarter, I'll use Marmaxx as the example, in terms of our sales, and obviously, we had some outperformance at Marmaxx. It's the consistency. So asking on the trade down, not necessarily saw that we saw any. But it was just a consistency across regions, across age of stores, across locations, urban, suburban, rural, across volume. Almost any way you look at it, we saw that same level of consistency. Most of our departments improved versus the second quarter, as you would expect, as the overall numbers went up. And I think it goes back to what Ernie has been saying just the strong execution of our buying and planning and our allocation teams.
Ernie Herrman: The interesting thing, Omar, that we're -- we try -- I tried to emphasize in the script is the nature of one of our biggest, biggest strengths. We've talked about this before, we probably don't emphasize it enough is the fact that we trade so broadly between the good, better and best in the brands, and it makes it a little -- by the way, to what Scott said, it makes it a little tougher to read if there a trade down or not because we're not going after a certain demographic. I mean, we're trying to trade as broadly as we can. We're going after demos, all different income levels, age levels. And we do not go after one sector of good, better or best goods. And so I think it's actually tough to see are you taking from one trade down area when, in fact, I think in some cases because we've had some great buys I see a list every week at the good level, which means in some cases, we could -- we're taking good sideways, not necessarily trade-down from other retailers, if that makes sense. So again, I think we're in the advantage of having a good, better, best wide offering is going to continue to serve TJX well on taking market share.
Operator: Our next question is from Lorraine Hutchinson.
Lorraine Hutchinson: I wanted to dig in on inventory a little bit further. Are there any pockets of excess inventory, particularly in home? And then what does your packaway capacity look like? If you were to purchase a large volume of spring product, does that preclude you from taking advantage of some of the great deals you're seeing during holiday?
Scott Goldenberg: I'll actually prompt Ernie to actually talk first about the markdowns and overall how that's been.
Ernie Herrman: Yes. I think, Lorraine, so great question. One of the things we do, I think that is also different than what some of our counterparts, not just on off-price, counterparts across the board is we take aggressive timely markdowns throughout the year. And with that, it becomes a -- even if we end up with, well, I guess, you'd call it, liability of inventory, something you're kind of, I think, touching on there, we clear those situations fast. And because we turn so fast, as you know, I think all of you know, we turn our home inventories extremely fast. We have a high standard on taking aggressive markdowns there probably as much as anywhere, if not more so. And so, it never precludes us taking advantage of other opportunities in the market because we're always addressing any issues we have in our stores or inventory very quickly. So, it really limits any excess inventory situation that we would have anywhere within the box, within its online. And by the way, that applies to whether it's HomeGoods or home within Marmaxx or home within Winners in Canada or HomeSense in Europe, it applies to every brand. Great question, by the way, because if we manage that differently, and this is where I think it goes to the talent that we have, the seasoning and other people have a similar model of business, does not mean they execute it the same and take the markdowns as aggressively as we do. And I think, again, it's another advantage.
Scott Goldenberg: Yes. So talking about just the markdowns this year, we keep talking about our markdowns, rate has been better all year than our fiscal '20 levels. Although our markdowns have been slightly higher than what we had anticipated, but they've been built into each forecast that we give you and have largely been exactly where we thought they would end up. So, no surprises there. Again, just to reiterate, we have adjusted -- most of our -- a lot of our inventory pickup has been due to getting inventories a bit earlier than we expected as the supply chain improved quicker than what we had -- when we had ordered the goods, and they just came in quicker. But we expect, again, our inventories to come in at the end of the year, we've adjusted all our open to buys, the receipts will obviously a bit less receipts this year than last fourth quarter. And really, so by flushing that inventory down, we'll have both inventory levels where you want and great cash flow in the fourth quarter compared to both last year and even compared to fiscal '20.
Operator: Our next question is from Matthew Boss.
Matthew Boss: Congrats on a nice quarter and a tough backdrop.
Ernie Herrman: Thank you.
Matthew Boss: So Ernie, could you speak to drivers of comp improvement as the quarter progressed? And notably, I think you cited sequential acceleration in traffic. Maybe how you see Marmaxx positioned to take share in holiday? And then Scott, merchandise margin, if you exclude freight, remains materially above 2019 levels. I guess, maybe if you could just help walk through what are the structural improvements in the model that you see relative to pre-pandemic?
Ernie Herrman: All right. Yes. So Matt, let me go with the first couple, and then Scott will jump in with regard to some of the margin aspects. Yes, acceleration within the quarter, total sales. But I think what you're getting at is on some of the categories, we mentioned that our -- and we're very pleased with this, our apparel in general and Marmaxx outpaced the store. So, that is an extremely healthy barometer for us. It also means that we are going to be driving more traffic down the road. When we do that, it's very healthy. Whenever we typically run some of our best market share gains is because the whole store is participating. And of course, last year, you had across the board, not just in TJX, a home business that was over indexing in most businesses, but we are very happy, particularly happy with our apparel business in Marmaxx. So, when you ask what any categories help driving it, yes, apparel ironically. And I don't think that is the same story with other retailers. I think you're going to hear more mixed reads as more results come out on the apparel business. Once again, I'll give you the different why do I think our apparel shines. And by the way, this -- I think we're performing better in every division there is because of the branded content, good, better, best brands. So, our apparel is not non-branded-driven. It's brand-driven, and it's across good, better and best. And that applies to whether it's our ladies business or our men's or our kids business. We try to go after all three levels and really have a branded focus, not a private label focus. So, I think that's really, really key. And I think that's why I look at the future, you're asking, I think one of your questions there was about Marmaxx, how we position, open to buys in great shape. And we have open to buy in all the areas that are some of our harder driving sales, better sales performing areas right now. And I also look at the on order because we can see some of the -- again, we buy close to need, but we still can see our first quarter on order because as we start buying and putting goods into those buckets, so to speak, the branded content based on what's been available in the market, this applies not just to apparel. This applies to accessories or to our hardlines areas, to our tech areas. The branded content is really going to be at a new level here going forward. And a lot of that is the nature of what's been happening in the marketplace just yielding an amount of inventory across all of these brands that is beyond what we normally see. I'll let Scott now talk to the margin.
Scott Goldenberg: Yes. Well, I'm not the expert. I'm actually why we're buying better. So, I'll let Ernie say that.
Ernie Herrman: Yes, I didn't mean for you to.
Scott Goldenberg: Yes. So, I’ll hit a bit on the technical side there. I think -- when we look back since the beginning of the year and what we did in the last -- in August is that our retails have largely, as we've said for the last couple of quarters, has been unchanged. So not because we're raising retails anymore or anything less than what we thought it's really -- they basically what we thought has happened. The cost increases have been have come through. They haven't been changing dramatically, and our retails have raised up slightly above the cost, but haven't -- we haven't done that any more than what we have thought. What has changed over the last couple of quarters and when we changed our forecast last quarter is that the -- we're buying better, the marketplace, as we said, was absolutely loaded and we've actually been buying better. Some of this -- and again, is -- the freight is largely coming in where we want a little timing between the third and fourth quarter. Markdowns came in slightly higher, but again on our forecast, but it's largely we're actually buying better than what we thought not a retail increase more than what we thought. So -- and again, we would expect the same thing in the fourth quarter to have a strong merchandise margin by -- and with better overall markon. So, that's about all I have to say on merchandise margin.
Ernie Herrman: Yes. I'll just jump in, Matt. I think Scott's saying really it's been a two-pronged effort in terms of buying the goods better and retailing. The retailing continues. But I think the new news is that we are buying better based on the market environment than I think we had even anticipated back a couple of months ago. Although that’s where I think anything you'd read about the availability in that, creating more inventory out there for models of business like us to take advantage of that -- that part is turning out to be true, so.
Scott Goldenberg: Yes. And we've also been helped out as we thought it would because we saw the apparel getting better as we move through the back half of the year. And last year, it was all about having a significantly higher home contribution. We're kind of back to where we were from the apparel home contribution at the end of this third quarter where we were back in fiscal '20. So, it's almost been a 6%, 7% change in the apparel home contribution, which certainly has benefited us a bit on just from a mix point of view on the average retail.
Operator: Our next question now is from Brooke Roach.
Brooke Roach: Ernie, I wanted to follow up on a few of the high level guardrails that you provided into next year and calendar 2024. As you contemplate that low single-digit comp sales increase that you've suggested next year, are there any puts and takes that we should be contemplating by major banner? And do you expect this to be led by a sequential increase in traffic, or will this be a balanced traffic and ticket driver as a result of ongoing pricing strategy and better branded availability in the stores?
Ernie Herrman: Awesome, those are good high-level questions. I think the first one on the single-digit comp. Hard to -- first of all, hard for us to call today on how much will be from traffic or ticket. We're being very conservative on our traffic expectations based on what's going on, but I think it's probably going to be a combination. But it is a little early for us to kind of step out and make a call on that. And your first part of the question is, I think, how much does it vary by -- does it vary by banner. And right now, our initial thinking is it's in a pretty narrow bandwidth by banner. They're all going to be planned fairly similarly within a couple of points, I would say. This is not different than this past year. And the volatility of what's around us is making it a little challenging for us to kind of Scott and his team, myself with all the SEVPs who try to figure out what's our best guess. But who could forecast some of the things that have happened even this year, where sales are not where we had projected. Having said that, we've been able to execute in a different manner and pull off some things that I think strategically are going to benefit us on the long term. The flexibility of our model, but the team that we have executing that flex. We've executed -- I believe the team has executed really well. So again, I have to be a little vague on that because we're not sure. The only thing I can tell you is right now, our initial thinking on our banners is, they'll be in a pretty narrow bandwidth all planned fairly similarly.
Operator: Our next question is from Paul Lejuez.
Paul Lejuez: I just want to go back to the markon benefit that you spoke about. You said that it helped in 3Q. I think it's been helping you. But maybe, Scott, can you frame the benefit that you saw in 3Q versus prior quarters? Also how are you thinking about markon in 4Q relative to what you've been seeing? And then, also just curious about the expenses, just the nature of the expenses that shifted out of 3Q and into 4Q, what were those? If you could just give any detail there? Thanks.
Scott Goldenberg: Yes. We're not going into the detail just due to the timing of multitude of items, some related to inventory, flow and the related costs and/or expenses or how they get capitalized between one quarter and another. So, that's really all to say on that. In terms of the margin, if you look at it on a three-year basis on our markon, similar levels of -- it's largely going to be driven by strong markon, whether it's on a three-year basis or a two-year basis, and nothing really much more to add there. It can't break it down because there's tens of thousands of items. So, it's a combination of some retail and better buying and it's hard to parse out exactly what goes to which, but it's a combination of the both. Certainly, again, as we've talked about over the course of the last 6, 7 quarters having a slightly higher average retail helps on the expense lines, whether it's in the freight, stores and DC, and that's a good chunk of some of the benefit we've been getting as well.
Paul Lejuez: Got it. If I could just pivot one other the direction, Ernie. Just there's some concerns, just macro concerns out there over in Europe. I'm curious how you feel the business is positioned over there to take advantage of maybe consumers looking for value, maybe what you're seeing over there from a promotional perspective and competitive positioning of the business.
Ernie Herrman: Yes. Paul, great question. We talk about this all the time. And the environment there is at a different level of challenging. From here, it's even more serious, and you have the market drops by retailer there or even more significant than they are here. Our sales have been below our expectations there. But what we do is we look at our sales performance against the retail market, and we have been trending basically 500 to 1,000 basis points ahead of the competition there. So, we don't like our -- the way the consumer is getting hit there and affecting us. But relatively speaking, we are actually gaining significant market share there. So, our outlook there is over the next year or two to continue to gain more market share and take advantage as things level off there. And we're staying extremely liquid and demanding the same type of -- looking for the same type of healthy terms and model execution that we do here. Being a little patient with the environment -- can’t control. We can't control the traffic. We can measure there and we do the footfall going into our stores, and that has been off, not the conversion of when they're in our stores. So, the good news is when the customer is in our store, they're very happy with the mix they find, and they are buying at a conversion rate very similar to before. So that's not the issue. The issue is footfall is off. And -- but it's off less for us than it is for the competition. So, Scott…
Scott Goldenberg: Yes. I mean the other thing is, given the environment over there, it's even more difficult for most -- for many retailers. And it's certainly -- and Ernie can jump in after me. But we're certainly adding as many new vendors as we have in the past and probably getting our fair share of good, better and probably even more better and best over there in terms of the branded quality.
Ernie Herrman: Absolutely.
Scott Goldenberg: So, I think that's the thing. And given the environment, we've talked about this before, we're still taking advantage of when -- of both relocation opportunities at good rates and obviously getting lower rates when we -- our leases come. So, we're minimizing some of the costs, taking advantage of those aspects that we can.
Ernie Herrman: Yes. Paul, Scott was bringing up a good point there. The level of what you do have in a situation like this is there's some -- I was talking about the good, better, best, how we go after all three. We've had a disproportionate amount of better and best goods over there and from some brands and sizable deals that normally we wouldn't have seen or open some vendors we wouldn't have opened as recently. So, that all bodes well. That's our -- truly our best form of marketing and our best form of capturing a customer for the long term. So again, I think we'll just stay patient and we'll weather -- and we have to execute the way we always do. And we'll mitigate any margin range or anything like that because we're keeping the business clean.
Operator: Our next question is from Mark Altschwager.
Mark Altschwager: I guess, first for Scott, with respect to freight, just any further color on what you're seeing in terms of the inbound versus trends in domestic freight expenses, and how you're thinking about the recapture opportunity next year? And then Ernie, you've emphasized the gifting position quite a bit over the last few years. Can you talk about some of the learnings from recent years that you've incorporated into your holiday assortment and marketing plans this year that support your confidence? Thank you.
Scott Goldenberg: Sure. Yes, we're certainly not going to go into giving specific guidance at this point in time. But, there's been largely no major changes to what we thought would happen at the back half of this year and consequently what we thought would happen next year. But when we were giving the long-range guidance out for '24 and '25 going to that 10.6%, it contemplated over the course of those two years some freight benefit. And we still are assuming that due to -- whether it's less demerge or some of the ocean freight or some of the other factors and over two years switching some of it to more intermodal than we currently have, we do see a freight as a tailwind, but we're not going into the details, certainly give that more on the -- when we give more detailed guidance on the February call. But yes, we definitely -- it's built in, none of the factors have really changed from what we thought over the last -- so yes, so a tailwind over the next two years on that. And obviously, as I think we stated earlier, the freight will go down significantly from the third quarter impact over last year or over ‘20 versus the fourth quarter.
Ernie Herrman: Mark, so talking about our gifting position, yes, we've talked about that every year for the last few years. What's really neat, I think, for us on what we've done in every banner and every geography we're in, as we have become a cooler -- we've talked about our entertainment question and all that, but we have been cooler for gifting because now we're hitting even younger audiences that are very comfortable buying gifts from us. I think the big thing that's happened over the last handful of years, and we have really accelerated during COVID is, a, our in-store experience from our -- and I mentioned this in the script, let's start with our store ops teams and our field organization really does an amazing job on setting up our stores for gift-giving well beyond what we did 6 or 7 years ago. And I give them a lot of credit on how we present giftable tables and features and knowing where to put certain items toward the register and really catering to impulse gift items. And they do it with -- across the board with good, better and best goods. And they are just phenomenal at setting up the -- and that's whether it's in a Marmaxx store or a HomeGoods store, a Sierra, you name it, Winners, T.K. Maxx, every division is all over the gift-giving presentation and execution from a store level. Secondly, we are now more branded than ever. So, if you think about -- if you want to give a gift and this applies to any demo on any age group, any income level, you ideally are going to lean towards giving a branded gift. It doesn't feel good to give a private label gift or a gift that's just kind of generic. While we become -- and then this holiday, we will be more branded than ever, I think that's going to bode well for our gift business as we get even closer to Christmas. And then, the third aspect that we've tried to do every year in terms of gifting is a lot of gifting is done -- significant amount is done closer to Christmas every year. It moves back a little bit. And so we, last year, ran out of a little bit of steam right towards Christmas. So, we think one of our fourth quarter opportunities this year is to have fresh flowing branded goods that are gift-oriented coming in later, which we are significantly going after this year, which I think is going to bode well for our Q4 sales, especially in the last week or two right before Christmas. So, I think that touches on why -- again, two of those reasons are really why we've been doing better every year at it. This last one, I think, is really about this year last year comparison. But I intend for us every year to continue to get better and grab more market share at holiday. Even though years ago, we were not thought of as a gift destination. I think now we're absolutely becoming that. So, thank you for the question, Mark.
Operator: Our next question is from Michael Binetti.
Michael Binetti: Congrats on a nice quarter. And Scott, I'll have to add my congrats to you here on the next steps. I think you said -- just a near-term one, I think you said on the three-year rate was increasing throughout the third quarter. Strong exit rate, the guidance looks like it's taking a little bit of a deceleration in that three-year rate. Maybe just a comment on what you're seeing on November versus if that's from your expectation, the rest of the quarter, any source of conservatism that you want to hold back? And then, Scott, a little math on the consensus model, looks like expectations are for about a 2% to 3% comp in that combined U.S. business in the first half next year. You looked at a number of things. You're comfortable with/excited about it. I just want to make sure you think that's reasonable.
Scott Goldenberg: Yes. We haven't given any guidance on how we're breaking out getting to the 10.6% from next year or the year after. So we haven't -- we don't have any details to both share at this point or have on the breakout by quarter for next year. In terms of this -- the fourth quarter, the start to the fourth quarter, your question that overall U.S. comps have improved over the last day or so. But, as there was some unseasonable weather early on, however, this has been factored into our increased Q4 U.S. comp guidance. So I guess, again, just all factored into what we're -- what we've contemplated.
Michael Binetti: Makes sense. And maybe I could follow up with one just a little bit further out. Based on the buys that you commented on, I'm wondering how long you think you're going to have -- how long do you have visibility to having these great branded assortments? Do you have visibility via your packaway into this great good, better, best assortment of branded goods into fall of next year at this point?
Ernie Herrman: Yes. Michael, so the good better, best has -- that type of content has been there prior to the recent surge of availability. And I would think that will continue to the level that it's at here, which is unusually flooded market across well more than we could ever buy. It's hard to have visibility really as to the long term. The only thing I would say, as I said in the script, is for 40-something years we've always had more availability out there than we can buy. So, I don't see that changing. And I'll give you -- and even if it lean -- here's the other thing, and I didn't get to mention this earlier. Even if the availability out there comes down a little. One thing that has happened during COVID, and as we've seen over recently as for our merchants and our vendors, we have become even more important to them than ever before. So we always like to think we're the first call, I think from a different perspective, we have just become without a doubt, the most important for the branded market, I'm talking, we have become even more important as a relationship for them to liquidate their goods and to know that if they get aggressive on some of their cuts ahead, which, again, most of those cuts are imports that we're going to be there for them. So, we -- I think they know that even more so now when our relationships are there better than ever.
Scott Goldenberg: And Michael, the packaway, were you asking about the level of packaway?
Michael Binetti: I'm just wondering if you already know that you've got good packaway for -- in goods that can be deployed in the fall season next year if the content and the amount of branded goods that you're very excited about clearly today. You have in-store today visibility in packaway today visibility that you'll be able to have those goods before next fall.
Scott Goldenberg: Yes. We're not at a high level of packaway at this point in time. We're probably -- even or slightly lower than what we would have been. So it's more on the come on what we will or could buy for the rest of the year…
Ernie Herrman: I'll jump in there on that. What could happen because of the availability is, typically, we're -- still right now is we're just in the middle of November. You're in this time, Michael, when actually you're using the goods. So, you don't -- and we don't -- you kind of wait for you buy through a lot of these current goods. And as you go through it, as you get toward maybe December, you start saying, okay, there's goods in that category from that vendor left. I am now going to look at packing those away. My gut would say to me there's going to be more of that later than there was prior. So, as Scott said, we're not -- right now, we don't see that. Just based on what's out there, however, I would guess there will be more packaways coming out of this Christmas that we would pack away for next fall than we did last year.
Operator: Our next question from Chuck Grom.
Chuck Grom: Congrats on a good quarter. Typically, consumers trade down during these tough economic times, but that's clearly not the case for you yet. And I guess, I'm curious why you think that's different today? And I guess, when you look ahead, when do you think you may start to see that? Walmart has called it out, the dollar stores have started to call it out, but you and your peers have not. So just curious if you think it's on the come? And I guess, if you have any sense of when you think it might start to see it based on history in the business?
Ernie Herrman: Yes. Chuck, I think it's not -- I guess, it's hard for us to read if it's trade-down or if we're just getting it across the board. So that -- so I think what we were trying to say before is we can't read if it's trade-down because again, part of that goes to we buy across good, better -- we're buying -- we're trying to service almost every customer. So, what happens is, I think we get trade sideways. Right now, we're gaining market share from across the board. And so, that's -- I wouldn't say we're not getting some trade down. I would say that's just a piece out of many of the trade-overs, I guess you would call it. It's too hard for we can't seem to read -- and Scott even mentioned, I think if you look region by region, where you would look at some of the stores that might be closing where might have created the trade down, we're not seeing any significant difference by region, which is telling us we're kind of getting a little everywhere. Scott?
Scott Goldenberg: Yes. If you go back again, history, 14, 15 years during the last recession, it was a little more pronounced at the higher income demographics where you were -- given the stock market impact and people -- and overall it was more pronounced in those demographics. So, it's more noticeable. Again, I think Ernie said it right. It's so across the board and so consistent, it's just -- we just may be getting it more across than just from the top end.
Ernie Herrman: I think we have time for one more question.
Operator: Thank you very much. The final question for the day will be from Dana Tesley.
Dana Telsey: Hi. And congratulations, John, and congratulations, Scott. Can you expand a little bit more on the HomeGoods business, exactly what you're seeing there and how you see that path of improvement coming from, and what you saw in home versus apparel? I mean, Ernie, you mentioned that apparel over -- and it goes back to the normalized index. But what should we be expecting from home and margin opportunity go forward? Thank you.
Ernie Herrman: Yes. So for sales and margin, Dana, is where you're getting at going forward. Our outlook that we start to -- next year because we were up against enormous increases this year as was everybody. The good news is from what I've seen across the board, yes, we're dropping in our home business, but not as much as some of the other retailers that -- so we feel -- again, we look at that barometer. We're hoping that next year, we get to a home sales trend that's more back to -- as I said earlier, back to those low single-digit comps is what we would hope. Margin-wise, there should be some upside because of what's happening with freight becoming a bit of a tailwind. And as you know, the home business was hit significantly by freight more so than most of the other businesses. I do feel that we wouldn't have an outpacing home business. It probably starts to track toward the rest of our business. Again, tough to forecast with what's going on and all the volatility around us in the environment. But that's kind of our outlook right now. The beauty of our business is we play a hand to mouth close in. And if we're not seeing that, we'll adjust We are bullish on our accessories and apparel business still moving forward because it looks like there's consistent opportunity as well as there's some newness there. And newness always bodes well in our business as far as generating a reason to buy an impulse, which our business has so much built on impulse SKUs and categories and -- so again, we just feel good across the board. Good question.
Dana Telsey: Thank you.
Ernie Herrman: Thank you. And I think that was our last question for today. I'd like to thank you all for joining us today. We will be updating you again on our fourth quarter earnings call in February. So, thank you, everybody.
Operator: Ladies and gentlemen, that does conclude your conference call for today. You may all disconnect. Thank you very much for participating.